Operator: Good day, ladies and gentlemen, and welcome to the Garmin's First Quarter 2018 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be provided at that time. And now I'd like to turn the conference over to Teri Seck. Please go ahead.
Teri Seck - Garmin Ltd.: Good morning. We would like to welcome you to Garmin Limited's first quarter 2018 earnings call. Please note that the earnings press release and related slides are available at Garmin's Investor Relations site on the Internet at www.garmin.com/stock. An archive of the webcast and related transcript will also be available on our website. As a reminder, we adopted the new U.S. GAAP revenue standard in the first quarter of 2018. The prior periods presented here have been restated to reflect the adoption of this new standard. This earnings call includes projections and other forward-looking statements regarding Garmin Limited and its business. Any statements regarding our future financial position, revenues, earnings, gross and operating margins, and future dividends, market shares, product introductions, future demand for our products and plans and objectives are forward-looking statements. The forward-looking events and circumstances discussed in this earnings call may not occur, and actual results could differ materially as a result of the risk factors affecting Garmin. Information concerning these risk factors is contained in our Form 10-K filed with the Securities and Exchange Commission. Presenting on behalf of Garmin Limited this morning are Cliff Pemble, President and Chief Executive Officer and Doug Boessen, Chief Financial Officer and Treasurer. At this time, I would like to turn the call over to Cliff Pemble.
Clifton A. Pemble - Garmin Ltd.: Thank you, Teri and good morning, everyone. As announced earlier today Garmin recorded record revenue for the first quarter of 2018 with double digit growth in revenue, profit and EPS. Consolidated revenue came in at $711 million, up 11% over the prior year. Outdoor, fitness, aviation, and marine collectively increased 18% year-over-year and contributed 80% of total revenues. Gross margin improved year-over-year to 60% due to segment and product mix. Operating margin improved to 20% while operating income increased 22%. This resulted in GAAP and pro forma EPS of $0.68 with pro forma EPS growth of 31% over the prior year. We're pleased with our first quarter results, which delivered growth in revenue, profits, and earnings since Q1, represents the lowest seasonal quarter of our financial year, and much of the year remains ahead of us, we are maintaining the guidance issued in February. Doug will discuss our financial results in greater detail in a few minutes. But first, I'll provide a few remarks on our performance in each business segment. Starting with outdoor, revenue increased 24% on strong demand for outdoor wearables. Segment generated strong growth in operating margins of 65% and 30% respectively, while operating income grew 27% over the prior year. During the quarter, we began shipping the Descent dive watch, Descent brings innovation to the dive computer market by combining smartwatch utility with dive computer functions for the underwater adventure. Descent has been well received and we are excited for the opportunities we have in this new product category. Also, we recently announced the tactix Charlie, a tactical themed smartwatch, with unique features such as night vision compatibility and Jumpmaster mode for skydivers. Looking next to fitness, revenue increased 20% percent driven primarily by growth in the advanced wearable category. Gross margin improved to 58% due to product mix. Operating income improved to 20% resulting in operating income growth of 81%. During the quarter, we began shipping the Forerunner 645M, our first GPS running watch with integrated music and mobile payments. We recently announced several new cycling products including the Edge 130 and the Edge 520 Plus. The Edge 130 is an entry level cycling computer packed with features and the Edge 520 Plus offers advanced mapping and navigation capabilities. We also announced the Varia RTL510, the latest in our series of products that focus on cycling safety. We hosted our second annual Connect IQ Developer Summit bringing together application developers and business partners to participate in hands-on workshop with our product managers and our engineers. The momentum behind Connect IQ is accelerating with more than 54 million Connect IQ downloads to more than 8 million compatible devices shipped since inception. And finally just yesterday, we announced the collaboration with the University of Kansas Medical Center on multiple research projects exploring the use of wearable technology for the early detection of under reported health conditions such as sleep apnea and atrial fibrillation. Turning next to aviation, revenue increase 19%, driven by broad based strength across the market. Gross and operating margins remained strong at 75% and 33% respectively resulting in operating income growth of 25% over the prior year. During the quarter we started delivering on new TXi flight decks including a version for the helicopter market. We also announced the first flight of the Citation XLS with the G5000 integrated avionics suite. This represents a significant step forward on our path to certification. Looking next at the marine segment revenue increased 9% driven by our recent acquisition of Navionics excluding Navionics our revenue was essentially flat year-over-year due to unfavorable weather conditions that have delayed the start of the boating season and due to the challenging comparison to first quarter of 2017 when our marine segment grew 26%. Gross margin improved to 59% while operating margin declined to 12%. During the quarter we announced the GCV 20 an ultra-high definition sonar offering, higher resolution imaging at greater depths. Also we were selected as the exclusive Marine Electronics supplier to the Independent Boat Builders cooperative known as IBBI. IBBI is the boating industry's largest purchasing cooperatives and is comprised of a 19 member network of leading brands. Beginning in 2019, members of the IBBI will get direct access to our full line of Marine Electronics. Looking finally at the auto segment revenues were down 12% for the quarter due to the ongoing decline of the PND market partially offset by growth in niche product lines. Gross margin was 43% while operating margin was 2%. During the quarter we announced the next generation diesel T&D for trucks which uses dash camera technology to provide enhanced driver alerts. That concludes my remarks, next Doug will walk you through additional details on our financial results. Doug.
Douglas G. Boessen - Garmin Ltd.: Thanks, Cliff. Good morning, everyone. I'll begin by reviewing our first quarter financial results, then move to comments on the balance sheet, cash flow statement and taxes. We posted revenue of $711 million for the first quarter, representing 11% increase year-over-year. Gross margin was 60%, 190 basis point increase from the prior year, driven by segment and product mix. Operating expense as a percentage of sales was 40%, consistent with the prior year. Operating income was $142 million, a 22% increase year-over-year. Operating margin was 20%, 100 basis point increase from the prior year. Our GAAP pro forma EPS was $0.68. Next, looking at our first quarter revenue by segment. In the first quarter we achieved a record first quarter revenue of $711 million. Consolidated revenue grew 11% led by double-digit growth in three of our five segments, both the outdoor and fitness segment grew over 20% for the quarter. On a combined basis outdoor, fitness, aviation and marine were up 18% compared to the prior year quarter. Looking next, first quarter revenue and operating income charts. Collectively, the outdoor, fitness, aviation, marine segments contributed 80% of total revenue in the first quarter of 2018 compared to 75% in the prior year quarter. Fitness grew from 22% to 23% and outdoor grew from 18% to 20%. You can see from the charts illustrating our profit mix by segment, outdoor, fitness, aviation, and marine segments collectively contributed 98% of operating income in the first quarter of 2018 compared to 94% in the first quarter of 2017. Outdoor, fitness, aviation segments each had year-over-year increase in both operating income dollars and operating margin. Looking next to the operating expenses, our first quarter operating expenses increased by $29 million or 11%. Research and development increased $20 million year-over-year due to investments in engineering resources and recent acquisitions. Advertising expense decreased $7 million year-over-year representing 3.5% of sales, 150 basis point decrease. The decrease was primarily due to lower media spend and lower co-op expense. SG&A was up $50 million compared to the prior quarter increased 60 basis points percent of sales (10:11) to 16.5%. Increase was primarily due to personnel related expenses, incremental costs associated with recent acquisitions partially offset by lower litigation related expenses. Few highlights on the balance sheet, cash flow statement and taxes. We ended the quarter with cash and marketable securities of approximately $2.4 billion. Accounts receivable decreased sequentially or (10:35) $10 million following on the seasonally strong fourth quarter. Our inventory balance increased on a sequential year-over-year basis to prepare for the seasonally strong second quarter. In the first quarter of 2018, we generated free cash flow of $188 million, $93 million increase from the prior quarter, we benefited from working capital improvements. Also in the quarter, we paid dividends of $96 million. In the first quarter of 2018, we reported an effective tax rate of 16% compared to a pro forma effective tax rate of 21.2% in the prior year quarter. Decrease in effective tax is primarily due to benefits from the U.S. tax reform and the impact of the (11:15) release of reserves. This concludes our formal remarks. James, could you please open the line for Q&A?
Operator: Yes, sir. Our first question comes from Joe Wittine with Longbow. Your line is open.
Nikolay Todorov - Longbow Research LLC: Hi. This is Nick Todorov on behalf of Joe. Congrats on a great quarter, guys. Really good job!
Clifton A. Pemble - Garmin Ltd.: Thank you.
Nikolay Todorov - Longbow Research LLC: Since you don't guide the quarter, I think it will be helpful if you can walk through which areas of the business were ahead of your expectations, I guess what was the biggest surprise?
Clifton A. Pemble - Garmin Ltd.: Well we don't really provide information on our expectations by segment other than the basic guidance that we've earlier laid out. So I think quarter by quarter, we have a lot of seasonality in our business and also cadence of our product releases and so that can create certainly ups and downs in terms of the overall yearly averages.
Nikolay Todorov - Longbow Research LLC: Okay. Understood and in outdoor, the data we track on fēnix showed surprising strength throughout the first quarter even though you had to fill the – anniversary (12:43) the fēnix 5 launch. I'm just curious is that strength surprising you? Can give us some color on its performance?
Clifton A. Pemble - Garmin Ltd.: Well I think we didn't start delivering the fēnix 5 until late in the first quarter of 2017 and so consequently much of Q1 of 2018 was not comping against that initial fill-in and Q2 was our biggest fill-in quarter in fēnix 5.
Nikolay Todorov - Longbow Research LLC: Okay. Got it. And on fitness, are you seeing any changes in the trajectory for basic trackers and is it safe to assume that basic trackers are now less than a quarter of your fitness segment?
Clifton A. Pemble - Garmin Ltd.: I think the general trend for basic trackers, continues as we have been remarking and as the market has been demonstrating, there is pockets of strengths geographically and also by product lines that we have, but generally we see a downward trend to that in terms of breaking that out as a percentage of sales of fitness, we don't do that.
Nikolay Todorov - Longbow Research LLC: Okay. Got it. Thanks, guys, and good luck.
Clifton A. Pemble - Garmin Ltd.: Thanks, Nick.
Operator: Thank you. Our next question comes from Doug Clark with Goldman Sachs. Your line is now open.
Doug Clark - Goldman Sachs & Co. LLC: Hey, great. Thanks a lot. First question on the aviation business, I'm wondering if you can give a little bit more detail, you talked about kind of broad based strength, but it looked like in that quarter there were a number of certifications or deliveries. So if you can give maybe a little bit more detail on kind of aftermarket versus OEM and in particular the strength of the pipeline for certifications?
Clifton A. Pemble - Garmin Ltd.: Yes. So, I think we saw broad strength in retrofit and OEM product lines. I think there's a lot of data on the overall situation with OEMs and I think they're seeing some incremental improvements in their business although it's a low-single-digit. For us, I think it's a matter of product mix – the products that we're delivering as opposed to the general market, the small and medium size airplanes as well as single-engine airplanes are doing well. And also on the retrofit side, we're seeing general strength due to the ADS-B mandate which is also pulling in additional equipment purchases as people upgrade their panels.
Doug Clark - Goldman Sachs & Co. LLC: Okay. And then my other question was actually back on outdoor, you had mentioned – lapping of the launch of the fēnix 5 and the selling in the second quarter of 2017. So, two questions. How do you think the business trends for the rest of the year given that the comps get more difficult? And secondly, any visibility into what the refresh on that product looks like, is it a one year cadence or two year cadence or anything touching on new solutions in the fēnix lineup?
Clifton A. Pemble - Garmin Ltd.: Definitely, we have a much more difficult comparison through the remainder of the year because of the fēnix 5 launch. So we're expecting that and that's reflected in our outlook. In terms of product refresh I can't comment on the specific timing, but we do have a very active roadmap across our segments including in outdoor and so we expect more product releases throughout the remainder of the year.
Doug Clark - Goldman Sachs & Co. LLC: All right. Great thanks a lot, guys.
Clifton A. Pemble - Garmin Ltd.: Yes. Thank you.
Operator: Thank you. Our next question comes from Rich Valera with Needham. Your line is now open.
Richard Valera - Needham & Co. LLC: Thank you. I just wanted to clarify that the guidance for all of the segments remains unchanged is that correct?
Clifton A. Pemble - Garmin Ltd.: Yes. We're basically reiterating what we outlined before.
Richard Valera - Needham & Co. LLC: Got it. And I guess you spoke to the fitness category, the plus 20% comp in the first quarter, but you're basically guiding for that to be I guess down in aggregate for the remainder of the year and that's because of the tougher comps with the fēnix. Is that fair?
Clifton A. Pemble - Garmin Ltd.: Well, fitness is really driven by other tougher comps we had significant selling of new products in Q4 of 2017 and so that's a factor and then we also have the issue of the ongoing decline of the basic activity trackers which we're factoring into our overall outlook.
Richard Valera - Needham & Co. LLC: Got it. That's helpful. And then the margins in auto were a little lighter than we've seen recently. Was there anything unusual in the mix in auto this quarter? I'm just wondering how we should think of those margins as we go through the year maybe any bounce off the 1Q levels?
Clifton A. Pemble - Garmin Ltd.: No, I would say it was mostly just some general variance that we would see, especially with lighter sales as we did some promotions and things that could have impacted the overall margin level but we would generally expect mid-40s kind of gross margins. We would expect the operating margins to come up, because Q1 is the seasonally lowest quarter and we should be in a much better position Qs – Q2 through Q4 with more sales leverage.
Richard Valera - Needham & Co. LLC: Got it, that makes sense. And then finally on the tax rate, I think you guided 19% for the year but you came in at 16%, are we still thinking that 19% is the right tax rate for the full year?
Douglas G. Boessen - Garmin Ltd.: Oh, yes. We still stay with our full year 19%. Part of the 16% there were some reserve releases there, so – maybe some lumpiness in the quarters depending on how those reserve releases that come out. But 19% is still our full year rate that we're anticipating.
Richard Valera - Needham & Co. LLC: Got it. Thanks. Thanks for the clarification. Nice job on the quarter, gentlemen.
Clifton A. Pemble - Garmin Ltd.: Thanks, Rich.
Operator: Thank you. Our next question comes from Yuuji Anderson with Morgan Stanley. Your line is now open.
Yuuji Anderson - Morgan Stanley & Co. LLC: Great. Thanks for taking my question. A quick one on outdoors. How did the other products besides fēnix do in Q1? Is there anything to call out there in terms of – a specific product that might have surprised the upside there?
Clifton A. Pemble - Garmin Ltd.: Well, I think in terms of surprise, no, I think we are doing very well with our inReach business both hardware and subscription base so that provide us some additional boost to the segment as well. But beyond that everything was pretty much in line with what we would have expected.
Yuuji Anderson - Morgan Stanley & Co. LLC: Okay. Got it. And then on aviation when we think about seasonality and sequential growth for the rest of the year, should it be kind of similar to what we saw last year or is there something you would call out last year or this year that would make them kind of unique?
Clifton A. Pemble - Garmin Ltd.: Well, aviation doesn't really have the seasonality that many of our other markets do, but we would generally expect that our business would follow the trends in the industry and also be driven by these upside opportunities with ADS-B.
Yuuji Anderson - Morgan Stanley & Co. LLC: Okay. And if I could just do one more follow-up on aviation just and I think this was alluded to one of the previous questions, how much of visibility do you have on the OEM side of things just with some of the positive data points we see out there. Is there a probability that things might actually accelerate to the end of the year or do you think not materialize that quickly there? Thanks so much taking my questions (19:49).
Clifton A. Pemble - Garmin Ltd.: Well, I think there is a – excuse me, there's definitely a long supply chain in aviation. And so the rapid moves in terms of growth are probably a little bit more challenging. I think the remarks that some of our partners have already made on the state of the industry really reflect how we would view it as well.
Yuuji Anderson - Morgan Stanley & Co. LLC: Thanks so much.
Clifton A. Pemble - Garmin Ltd.: Yeah. Thank you.
Operator: Thank you. Our next question comes from Brad Erickson with KeyBanc. Your line is now open.
Brad Erickson - KeyBanc Capital Markets, Inc.: Thanks. So, first, just curious on marine, understand the weather seems to play a role there, but doesn't necessarily fit with some of the other public companies that have reported in the space. Results seem to have been better, frankly. So wondering if fuel pricing is weighing on things, are there other factors that may be going on that are weighing on marine that we should be considering?
Clifton A. Pemble - Garmin Ltd.: Well, some of the boat builders have reported that their business was slightly down in the quarter and I think weather is definitely a real thing, when people are thinking about bringing out their boats and there's feet of snow outside that's a little bit challenging. So we believe that the start of the season was impacted. And the other thing that I mentioned in my remarks is that last year, we are comping against the significant growth of 26% which the season kind of started earlier last year. So there's a little bit of variance in terms of how the seasonality has gone, but we would expect that Q2 should be stronger.
Brad Erickson - KeyBanc Capital Markets, Inc.: Got it. That's helpful. Thanks. And then Doug, can you just remind us what the original guidance contemplated in terms of the euro FX rate. And then, may have missed that in the press release, but if you could provide just any – what the FX tailwind was in Q1, that'd be great?
Douglas G. Boessen - Garmin Ltd.: Yeah. The Q1 – the tailwind was about $30 million and basically for our guidance we're assuming roughly the current euro rates.
Brad Erickson - KeyBanc Capital Markets, Inc.: Got it. And then one last one if I could I guess just historically and not updating your guidance after Q1 I think you've always said in the press release and I may have missed this in the prepared remarks that it's because of seasonally lowest part of the year you're simply not updating whereas this time you're reiterating should we discern any difference between those two messages?
Clifton A. Pemble - Garmin Ltd.: No. No.
Brad Erickson - KeyBanc Capital Markets, Inc.: Got it. That's all. Thanks.
Clifton A. Pemble - Garmin Ltd.: Yes. Thank you.
Operator: Thank you. Our next question comes from Ben Bollin with Cleveland Research. Your line is now open.
Ben J. Bollin - Cleveland Research Co. LLC: Yeah. Good morning, everyone. Thanks for taking my questions. Could we start with – within fitness when you look at Forerunner 645 how much sell-in benefit do you think you saw in 1Q. Is it readily available at this point or is there any more sell-in benefit into 2Q and then a couple of brief follow ups?
Clifton A. Pemble - Garmin Ltd.: I think 645 is a great new product launch and we did see some benefit from the sell-in phenomenon. We're basically now waiting to see how things go with the sell-through. So I would say at this point we're probably pretty much caught up in terms of overall sell-in.
Ben J. Bollin - Cleveland Research Co. LLC: Okay. On the advertising numbers, Doug, you mentioned down year-over-year on I think some lower co-op figures and lower media spend. Is there anything different in how you think about advertising at this point through the course of the year? Does it get back to normal? Is this the new normal? What's the right way to think about that line item?
Clifton A. Pemble - Garmin Ltd.: Yeah, Ben. I'll maybe comment on that, I would say that as our product mix and as the market has evolved we're fine tuning our approach. So we were able to take some benefit in Q1, we would expect that we would probably have similar to 2017 in Qs – Q2, Q3, Q4 in terms of our overall advertising.
Ben J. Bollin - Cleveland Research Co. LLC: Okay. And my last items, looking at the aviation business what's your characterization of the aviation retrofit capacity today, how much – do you any thoughts on backlog or how utilized these guys are? What percent of the fleet, do you think, has migrated ADS-B and how are the capacity expansion plans progressing with the aviation build up and I'll cede the floor? Thank you.
Clifton A. Pemble - Garmin Ltd.: Yeah. So, I would say that the shop capacity is constrained. Right now we're seeing increasing lead times that shops are reporting when customers are coming in, looking for options to upgrade their airplanes. I think the availability of the technicians is definitely a factor and then just overall the number of shops and their general floor space capacity is a challenge. That said, people are still getting in, people are making appointments and they're starting to realize that it's definitely time to upgrade. In terms of percentage of fleet, I would – it's a little bit hard to specifically quantify it. We believe we're roughly 50% through the fleet. People that will upgrade and there will be some tail laggers (24:55) that probably spillover past 2020 or into 2020 as they perhaps sunken into (25:02) the shop or maybe they don't think they need to upgrade until they try flying in the new environment.
Operator: Thank you.
Ben J. Bollin - Cleveland Research Co. LLC: Thank you.
Operator: Our next question comes from Charlie Anderson with Dougherty & Company. Your line is now open.
Charlie Lowell Anderson - Dougherty & Co. LLC: Yeah. Thanks for taking my questions and my congrats on a strong start to the year as well.
Clifton A. Pemble - Garmin Ltd.: Thanks, Charlie.
Charlie Lowell Anderson - Dougherty & Co. LLC: So APAC was really strong year-over-year maybe the strongest we've seen in a few years. I wonder if there were any specific cause there in terms of any geographic expansion, door counts or were there any specific products that did well in APAC? And then, I've got a follow up.
Clifton A. Pemble - Garmin Ltd.: Okay. Yeah. So, APAC definitely is growing from a smaller base. So the growth numbers are higher. They're doing very well in the wearable areas. Several countries are very strong in terms of wearables. And in that market the – even many categories in the fitness area including basic trackers are doing well.
Charlie Lowell Anderson - Dougherty & Co. LLC: Okay. Great. And then, Navionics, I wonder if there was any more specificity to give there on the Q1 impact both on revenue and OpEx? And then, Doug, are we still on track for the CapEx number you outlined earlier?
Clifton A. Pemble - Garmin Ltd.: Yeah.
Douglas G. Boessen - Garmin Ltd.: So, regarding Navionics, as Cliff mentioned, majority of the marine growth was due to Navionics. And I also we're on track with that and it was accretive in the first quarter. In relating to CapEx, no adjustments to free cash flow or CapEx forecast at this time.
Charlie Lowell Anderson - Dougherty & Co. LLC: Okay. Thanks so much.
Operator: Thank you. Our next question comes from Ronald Epstein with Bank of America. Your line is now open.
Kristine Tan Liwag - Bank of America Merrill Lynch: Hey. Good morning, guys. It's Kristine Liwag for Ron. If recovery continues to gain momentum for light and medium-sized jets and we see more orders for Textron jets, what's your ability to ramp up production? And then, also how should we think about incremental operating margins excluding mix in that business?
Clifton A. Pemble - Garmin Ltd.: Yeah. So, we think we are very flexible in ramping up our capacity. We're currently investing approximately $200 million to more than double our production capacity for aviation. So, we're ready to serve when OEMs need to increase their forecasts.
Kristine Tan Liwag - Bank of America Merrill Lynch: And the incremental operating margins?
Clifton A. Pemble - Garmin Ltd.: Incrementally, I would say that as we grow with market growth, I would say we would get leverage as we bring on new aircraft platforms. We would need resources to be able to certify and develop the equipment for those aircrafts. So we may have to continue to invest some portion of that back into the business.
Ben J. Bollin - Cleveland Research Co. LLC: Great. And then how do you think about capital deployment today and what are your priorities for uses of cash?
Douglas G. Boessen - Garmin Ltd.: Yeah. So, just the cash, our priorities first of all related to reliable (27:57) dividend. We're closer to increasing our dividend this year. Second of which is investments back in the business similar to the expansion we have here at Olathe (28:06) facilities and then strategic acquisitions such as the Navionics and DeLorme acquisitions in the past.
Ben J. Bollin - Cleveland Research Co. LLC: Thank you.
Operator: Thank you. Our next question comes from Paul Coster with JPMorgan. Your line is now open.
Paul J. Chung - JPMorgan Securities LLC: Hi, thanks. This is Paul Chung on for Coster. Thanks for taking my questions. So just on overall units coming down year-on-year but your kind of blended ASPs up to around $240. Is this more of a function of aviation contribution or broad price increases across your portfolio? Looks like outdoor and fitness gross margins were up and you did mention shift towards advanced wearables. Can you just comment on the dynamics there and what do you expect ASPs to trend for the rest of the year and which particular segment you're seeing the most pricing power?
Clifton A. Pemble - Garmin Ltd.: Well, to say the best way to understand that is simply segment and product mix across a very diverse and large set of product segments. So, on one hand on the very low end, the basic activity trackers are down and on the other hand, we have growth in many of our other segments. So there's probably not a lot that you can read into the number other than segment and product mix.
Paul J. Chung - JPMorgan Securities LLC: Thank you.
Clifton A. Pemble - Garmin Ltd.: Thank you.
Operator: Thank you. Our next question comes from Will Power with Baird. Your line is now open.
William V. Power, CFA - Robert W. Baird & Co., Inc: Oh, great thanks, yeah. Maybe just starting on fitness. I know you've mentioned the new Edge product, just want to clear. Those will hit sell-in (29:47) in Q2 is that correct. And then just on – thinking about fitness gross margins, is this – given the continued shift towards advanced wearables is this kind of high 50 range is that a sustainable range kind of moving forward?
Clifton A. Pemble - Garmin Ltd.: Yeah. So Edge products were Q2 – those were announced and delivered basically simultaneously. In terms of fitness gross margin definitely we would see a trend upward as the lower margin activity trackers decline. But at the same time, we do want to caution that that the overall segment is competitive so we want to be able to promote our products and be able to maintain market share as well.
William V. Power, CFA - Robert W. Baird & Co., Inc: Okay and then then Doug on free cash flow, strong results in the quarter. Any updated thoughts as to how to think about free cash flow for the full year?
Douglas G. Boessen - Garmin Ltd.: Yeah, Q1 came in strong on free cash flow primarily due to some working cap improvements especially in the accounts receivable standpoint. And right now we're keeping our same guidance for the full year to $560 million (30:56) right now.
William V. Power, CFA - Robert W. Baird & Co., Inc: Okay. Thank you.
Operator: Our next question comes from Ivan Feinseth with Tigress Financial. Your line is now open.
Ivan Feinseth - Tigress Financial Partners LLC: Thank you. Congratulations on another great quarter and thank you for taking my call.
Clifton A. Pemble - Garmin Ltd.: Thanks, Ivan.
Ivan Feinseth - Tigress Financial Partners LLC: Can you go into a little a little more detail on the Connect IQ – the recent conference, and like year-over-year how much was the attendance up also year-over-year how many more apps around there and what is your vision to create an e-commerce, say, I know that, all the apps are free, but some of the app developers for an example, they will allow you to pay them if you like the app, do you see a more formalized process and what is the process to bring in some more commercial developers of apps to the platform?
Clifton A. Pemble - Garmin Ltd.: Yeah. So, in terms of the conference, we did see a significant growth in the number of attendees this year. We had 127 attendees that came for the attendees that we had last year, more than half of them returned to come to the conference again. And so we received a lot of positive remarks about the usefulness of the summit to them and the ability to answer their technical questions and to provide feedback to us on our product roadmap. So, we felt really good about it and something that we believe is helping us gain more momentum. In terms of the features we rolled out, we rolled out features around messaging, around music, and also mapping, but we also work with our developers to give them a way to monetize their app. So that's something that they will be able to control on their end and there's not as much infrastructure required on our end, but we do have the hooks in place now for them to be able to do that.
Ivan Feinseth - Tigress Financial Partners LLC: Very good. Thank you.
Clifton A. Pemble - Garmin Ltd.: Thank you.
Operator: Thank you. As I show no further questions in queue, I'd like to turn the conference back over to Teri Seck for closing remarks.
Teri Seck - Garmin Ltd.: Thank you, James. That concludes our earnings call for this quarter. Doug and I are available for callbacks. Thank you.